Operator: Ladies and gentlemen, greetings. And welcome to Workhorse Group's Second Quarter 2020 Investor Conference Call. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Workhorse's Chief Operating Officer, Dr. Rob Willison. Thank you. Dr. Willison you may begin.
Rob Willison: Thank you, operator, and good morning, everyone. We appreciate you taking the time to join us for our call. Before the market opened, we issued a press release with our second quarter results for the period ended June 30th, 2020, a copy of which is in the Investors Relations section of our website. We also released our quarterly Form 10-Q. In a few moments, I'm going to turn the call over to our CFO, Steve Schrader, who will walk us through our financial results for the quarter. After that, our CEO, Duane Hughes will provide an update on the businesses, as well as provide an outlook for the remainder of the year. We will then hear from John Graber, who heads up our Aerospace operations for an update on that part of the business before we turn it over to questions. Before we begin, I want to call your attention to our Safe Harbor provision for forward-looking statements that is posted on our website and as part of our quarterly update. The Safe Harbor provision identifies risk factors that may cause actual results to differ materially from the content of our forward-looking statements. Our 2019 Form 10-K and other periodic filings on file with the SEC provide further detail about the risk factors related to our business. And with that, I would like to turn the call over to our CFO, Steve Schrader. Steve?
Steve Schrader: Thanks, Rob, and thank you to all who are joining us for today's call. This morning, we issued a press release, which discusses the results of our operations for the quarter. Additionally, as Rob just mentioned, our Form 10-Q was also filled today. I recommend going through both materials to get more color on some of the information being discussed today. Now to our financial results for the second quarter ended June 30th, 2020. As many of you who have been following Workhorse are aware, and as we announced via press released recently, our first two C-series trucks were delivered in July to Ryder. This recent commencement of delivery help to explain the lack of meaningful revenue in the second quarter. In addition, and to be clear, expectation should be, that the vast majority of our 300 to 400 vehicle production target would be manufactured and delivered by the end of the fourth quarter of this year. Now for the second quarter results. Sales for the second quarter of 2020 were recorded at $92,000 compared with just $6,000 in the second quarter of 2019. Cost of goods sold increased to $1.5 million from $930,000 in the second quarter of 2019. The increase was primarily driven by increases in labor materials relating to costs for the C-Series production. Selling, general and administrative expenses increased to $3.9 million from $2.0 million in the same period last year. The increase in selling, general and administrative expenses was due primarily to increases in consulting expenses, higher employee related costs and incentive stock expenses. Research and development expenses increased to $1.6 million from $1.2 million in the same period in 2019. The increase in engineering, staffing and consulting expenses was related to the design of the C-Series. Interest expense increased by $108.4 million with $124.3 million of expense this quarter compared to an interest expense of $15.9 million from the same period last year. It should be noted that the significant increase in interest expense was almost exclusively due to the change in fair value of our convertible note and the mark-to market adjustment for some non-dilutive warrants issued to a lender. Both of these GAAP adjustments are non-cash and primarily dependent on the underlying stock components of financial instruments. These large adjustments were the result of a stock price of $17.39 on June 30th compared to $1.81 on March 31st. Net loss was $131.3 million compared to a net loss of $20.1 million in the second quarter of 2019. However because of large fluctuations in our mark-to-market accounting for the convertible debenture and some stock warrants. operating income or loss would be a better indication of operating and cash performance. Loss from operations was $7 million in this quarter compared to a loss of $4.1 million in the second quarter of 2019. As of June 30, 2020, we had cash, cash equivalents and short term investments of $26.2 million compared to $23.9 million as of December 31, 2019. You may see in July that we closed on a $70 million convertible note financing. In addition, we had many investors exercise warrants or options that were granted or obtained in previous financings. With the cash coming in from those exercises and the financing, we currently have $10.5 million of cash available. We believe this cash will allow us to ramp up the production to hit our target level this year, fund next year's operations, as well as take us into 2022 before we may need additional financing, excluding any financing needed to response to any significant increases in manufacturing resilient from significant orders or contracts.
this quarter --:
Duane Hughes: Thank Steve, and thank you, Rob. And good morning to everyone on the call. We appreciate you taking the time to join us today. During the first half 2020, we have all been dealing with the effects of the COVID-19 pandemic. As it relates to Workhorse specifically for the most part except for supplier issues in the first quarter and testing facility closings in the second quarter, we have been able to continue towards a ramping up of our production while maintaining all safety precautions for our employees. Designing and building vehicles is certainly highly visible part of what we do. But our C-Series vehicles also have to pass a rigorous standard of federal and state regulators in order to be operated on U.S. roads. To that end, we successfully completed the Federal Motor Vehicle Safety Standards or FMVSS testing in June. We are also proud to say that our vehicle designs have been validated by the United States' Environmental Protection Agency, the EPA and the California Air Resources Board known as CARB. Workhorse is the only American, all electric OEM, designing and manufacturing last-mile delivery vehicles to complete all these tests. An additional benefit to our car zero emission EV status, is that going forward Workhorse will now have carbon credit capabilities. What this means is, through CARB, we will get one and a half credits through every vehicle we sell. In turn, these credits can be sold to other OEMs to help meet CARB emission standards. At current rates, it is our belief that a typical CARB emission credit can expect to be sold for $200 to $300 on average, while not an immediate contributor to our top line or cash flow, as we begin to scale our operations, these credits should be reliable and more impactful as a new source of revenue over time. The EPA issued a certificate of conformity for our three C-Series models, which technically gives us permission to sell our vehicles in all 50 states. In addition to the EPA, CoC after going through another significant testing program, we applied for and received an executive order from CARB that enables us to sell our vehicles specifically in the state of California, as well as the 13 other states that follow the stricter California Air Resources Board standards. Essentially, this means a California has approved production of our model year 2020 vehicles, the C-1000 and C-650. Without the executive order, we would not be able to sell or place vehicles in California, and 13 other highly populated states. This approval also allows us to have our vehicles on the California Hybrid Incentive Program or HVIP, which should provide for a $50,000 incentive per truck after the state of California is expected to appropriate funds later this year. With respect to production in June, we delivered a C-Series 650 vehicle to electric vehicle fleet solutions, who will use it in support of their field service and training business. In July, we shipped our two C-1000 vehicles to rider to be used of their service centers in orange in Santa Fe, California. As part of the North America rollout Ryder will place the first group of Workhorse C-1000 vehicles through COOP, a peer-to-peer truck sharing platform, connecting fleet managers to businesses that are looking to rent vehicles. In addition, workforce electric vehicles will be offered for longer term leases to the Ryder customer base with service and charging capabilities available out of Ryder's 11 facility charge network across California. Ryder showcasing our trucks will lead to an increase in future orders. We are most excited about our relationship with Ryder. Speaking of orders in July, a Cincinnati-based company eTrucks placed an initial order for 20 C-1000 vehicles. eTrucks is a buyer, reseller and financier of trucking solutions for small to medium sized delivery businesses or SMBs. The SMB fleet operator represents an opportunity for additional sales. And we're looking forward to growing our partnership with another Ohio-based organization to improve last-mile delivery for everyone. Pursuing sales agreements with resellers like eTrucks, allows Workhorse to expand our sales, our sales reach and take advantage of economies of scale that would otherwise be unavailable through individual transactions. Moving to another major news item. As I'm sure many of you have recently heard, a few days ago, our strategic partner Lordstown Motors Corporation, announced that it had entered into an agreement with DiamondPeak Holdings Corp., a Special Purpose Acquisition Company or SPAC that would result in LMC becoming a publicly listed company on the NASDAQ under the ticker symbol "RIDE", with the transaction expected to close in the fourth quarter of this year. Lordstown has stated that its Endurance, an all electric pickup truck is expected to be the first full size electric pickup truck designed to serve the U.S. Commercial fleet market. Lordstown also says initial production will begin in 2021. To date LMC has disclosed that it has received over 27,000 pre orders for the vehicles representing over $1.4 billion of potential revenue. With respect to our partnership, I want to start off by reminding everyone of the details in our current agreement and how that will look after the SPAC transaction is finalized. Our IP remains at the heart of the Lordstown Endurance. Several design concepts first introduced and Workhorse's all electric platforms are central to the Endurance -- through the Endurance design. Among Lordstown's technology differentiator is the integration of hub motor technologies that eliminates the heavy drive train, engine transmission drive shaft differentials and axles typically used in combustion engine vehicles. In exchange for access to this valuable IP, we negotiated a license agreement that would provide Workhorse with a 10% non-dilutive equity stake in LMC in addition to other considerations. Subsequent to the SPAC transaction, we will maintain our approximate 10% ownership of the combined company at closing and an approximate $1.6 billion valuation post transaction close, that makes our position worth roughly $160 million. Additionally, with the $1.4 billion of pre-orders already secured, as disclosed by LMC, Lordstown also agreed to pay a 1% royalty on the first 200,000 vehicles sold, plus a 4% commission on 6000 Workhorse W-15 pre-orders that transfer to LMC as part of the IP licensing agreement. It's worth noting that LMC has agreed to prepay a portion of the license fee and an amount equal to $4.75 million. This transaction marks the fulfillment of a vision that began in January of 2019, when we first approached General Motors about the Lordstown Complex. The Lordstown assembly plant is a 6.2 million square foot facility estimated to be capable of producing as many as 600,000 electric vehicles annually. From the outset, our team and the LMC team understood the opportunity available and recognize the synergies that can be realized infusing our technology. With production capabilities of the former GM plant, the vision of the Lordstown leadership and the commitment of the communities in the Voltage Valley today. We are more than excited about our Lordstown relationship and look forward to further strengthen our ties with Lordstown team as they finalize this transaction and begin building trucks in 2021. Finally, I want to next speak about our engineering, design and production process. Our engineering team has been working on production plans for the second half of the year. And we now have in place a final assembly plan and a build schedule for the remainder of 2020 and beyond. We have developed a multi-vendor strategy and in particular, a multi battery strategy. All major body parts will be built in the United States are design eliminates traditional multimillion dollar investments in tooling and molds, as well as transportation, and can accommodate design changes quickly. We continue to add key personnel and critical areas including engineering and assembly positions. These additions have quickly provided us with new ideas and plans for improving our design for assembly. The goal of this design for assembly program is to considerably shortened timeframes to assemble a C Series vehicle and deliver our target vehicle production of 300 to 400 units later, with a vast majority coming in the fourth quarter. And now, I would like to introduce John Graber, who leads our Aerospace Group to speak about our ongoing projects. John has a long history in military and commercial aviation. He has been the President of Multiple Public Airlines, and has extensive experience in worldwide aircraft operations, maintenance and FAA system certification. John?
John Graber: Thanks, Duane. Good morning, everyone. Our aerospace team has made a lot of progress beyond the publicly announced expansion of our last mile delivery patent portfolio and our membership in the small UAV coalition. Carrying a significant payload for practical distance with a high degree of precision and reliability is not easy, but in the second quarter during continuing heavy flight testing, our team did that, elevating our aircraft's target range, payload and endurance. In April, our team participated in a demonstration in Lawrenceville, Virginia, with UPS and DroneUp in front of government officials with a goal of validating the use of drones for emergency and medical situations. It was a good exercise for the team and our system. We learned a lot. One of the things we learned, we validated the notion that autonomous operations are important especially in times like these. Other participants needed three people to operate missions, we flew with one, because our HorseFly system automatically launches our aircraft from our patented truck-top launching system and because our aircraft autonomously flies to the delivery point, and from a safe altitude automatically lowers our cargo with a winch and then returns automatically to the truck. We only need one person to run the entire mission, not three. We're closing in on the final design of our HorseFly 1.0 system and an improved root system for launching and recovering HorseFly from a Workhorse truck. I've been involved in Workhorse's aerospace operations for almost three years now. First on the SureFly and now with the HorseFly team. Let me give you a sense of what HorseFly means and is doing for Workhorse. First, last mile transportation is hard, aerospace transportation is harder and integrating the two I would submit even harder. Yet our team is getting it all done. In our fourth year of development Workhorse aerospace has flown live package deliveries hundreds of times in three different states. Our prototype all electric aircraft flies from our all electric delivery van, utilizing our patented truck-top launch and recovery systems. Our experience has taught us the last mile drone delivery is standoff, low touch and low cost, but all of that means nothing if you can't sell it in the marketplace. And we found the marketplace requires these core capabilities we designed for; safely and reliably carrying a meaningful payload, bearing in a meaningful distance, doing that simply and autonomously and doing it seven days a week, 365 days a year. FAA type certification is the only path to scaling meaningful long term commercial revenue operations in the United States and Workhorse aerospace is on that path. We've designed our aircraft and support systems to meet the FAA stringent standards to commercial operations. This certification process takes approximately 12 to 18 months. We have an expert aerospace team with a deep understanding of the FAA's process and regulatory requirements, and we've teamed with Moog aerospace to leverage their decades of aviation experience in the development of our systems. Our systems and design include redundant communications and control, transport standard, structural strength, and the range of reserved power capabilities that meet regulatory requirements. The key component to drone success is community acceptance. No one wants hundreds of annoying NATs flying over their homes every day. But very few people will care if our aircraft flies over because they won't hear it. And unless they're looking they won't see it. We've designed our aircraft to be quiet, quiet and unobtrusive. Our patent-pending one board wind system allows us to deliver packages from 20-feet or more above your backyard or driveway, keeping us away from your pets, children and plants. We've delivered hundreds of packages and understand what communities will and will not accept. An additional key component of our HorseFly system is our patent-pending Ares software that allows simple, precise control of the drone by operators. Ares also helps foster customer acceptance by allowing package recipients to opt into delivery, choose their own delivery points for packages at their homes, accepting or rejecting packages and deliveries in real time, an areas is more than just delivery managed from trucks. Our system allows last mile delivery from fixed base operators like drugstores, post offices and hardware stores as well. The applications are many and growing. In summary HorseFly long term business case and economics are compelling. Direct operating costs of the aircraft is less than $0.03 a mile and when you combine our HorseFly aircraft with our C-1000 delivery technology, you cut almost all of the carbon out of the delivery process while reducing delivery costs up to 80%. This is a true step function improvement in terms of cost and efficiency in greenhouse gases. Personalized integration with our all electric delivery van will allow us to maintain and grow our early leadership positions in the last mile space. Duane, I'll turn it back over to you.
Duane Hughes: Well done, John. I appreciate that update. I do trust this provide you all with a better picture of what HorseFly means to Workhorse. There are drone operators. There are delivery truck OEMs, Workhorse is both. In conclusion, I'll provide a brief comment, as we always do with respect to the U.S. Postal Service, next-generation delivery vehicle program. As many of you are well aware under our NDA, Workhorse is only able to provide information which is already in the public domain. As has been the case throughout this process, any further information or announcements will be issued by the U.S. Postal Service. We appreciate the continued interest that we are receiving and will provide updates to the market as we are able. We do not have any updates to share at this time. That concludes my prepared remarks. Thank you all for your time this morning. We look forward to updating you on our progress going forward. And we're now ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you. [Operator Instructions] Our first question is from Craig Irwin of ROTH Capital Partners. Please proceed with your question.
Craig Irwin: Hi. Good morning and thanks for taking my questions. So first thing, Duane, if you could please update us on backlog where it stands at the moment? Is it basically unchanged from the last time you disclose 1200 units? And then, the Ryder and the eTrucks orders, both very nice beginnings with both of these customers. Can you maybe describe the longer term potential you think is available with these customers? And how should we be thinking about customer orders as far as tempo? Do they generally start small and build larger? And should we be expecting multiple additional orders over the next several months?
Duane Hughes: Thanks for your question, Craig. It's great to have you on and we appreciate the opportunity to respond. There's a couple things I heard in there in terms of your question. So I'll start with the relationship with companies such as Ryder and electrical vehicle solutions and so on, are truly geared at helping us attract orders from all sizes of fleet. So as you can imagine what the UPS is of the world, right? We can garner large scale orders. But when you're thinking about fleets with smaller numbers of vehicles, these guys allow us to attract not only their attention and get the order, but then compile those orders together, so we have sizeable orders coming in from multiple fleet customers simultaneously. That goes, of course, not just to scale but to efficiency down the assembly line and so on. Beyond that -- I think your first question was, where do we stand with the current backlog? We're still in that roughly 1200 unit neighborhood at this point. The two orders we sent to Ryder do -- did start to populate their COOP fleet as we mentioned in our call. But to that point, we do expect all of these channel partners to help us increase our order quantity in our backlog, somewhat significantly. Clearly We can operate now in all 50 states due to our regulatory approvals and so on.
Craig Irwin: Thank you for that. So one of the things that was absent from your prepared remarks is a discussion of UPS. Many of us look at UPS as an anchor customer, maybe your most important customer you've done business with today. I know all customers are important. Is there any change or update you can share with us on UPS at this time?
Duane Hughes: Nothing really. Except that -- that order still is out there. We are continuing to make sure that the trucks that we do deliver to UPS knock it out of the park if you will. So rather than having the first few vehicles go to them, we're working with their implementation schedule across the different depots where they're going to place these vehicles starting in the California marketplace as we understand it today. So it's really just a function of working directly with UPS in terms of how they're building out their infrastructure. And making sure that we are on to not just deliver trucks to those depots, but the trucks that we deliver are -- if you will, the best trucks that they've ever received.
Craig Irwin: That's great to hear. So last question, if I may, before I jump back in the queue. I should start by saying congratulations for getting your first truck delivered in the June quarter and for getting production going. Can you maybe update us on the tempo of activity and the tempo of deliveries as you are ramping production? What's it going to take to get to the 100 units a month you guys have been talking about for the fourth calendar quarter? And do we sort of start off slow and build into that? Any color here is useful. Thank you.
Duane Hughes: Yes. That's great. Another good question, Craig. And you're right. We do start slow and grow into that. So even in the third quarter as we are identifying other areas that we can bring our own efficiencies and also engineer out cost. That's the phase that we're in now by delivering vehicles, getting customer responses, getting feedback from them, and helping us understand, did we miss something in the truck? Do we add something? What are the most valuable things that you're seeing and then combining that with where we can add efficiencies inside our plant and our assembly process. So I would tell you the third quarter, we're only looking at a handful of vehicles compared to that backlog. But that's to lead into what you just said, that 100-unit a month capability starting in the fourth quarter, where we are again, well positioned to know that we have delivered not just a not just a truck, but a solid quality truck, to not just our important customer of UPS, but all of our important customers.
Craig Irwin: Thanks again for taking my questions. I'll hop back in the queue.
Duane Hughes: Great job, Craig. Thank you.
Operator: The next question is from Greg Lewis of BTIG. Please proceed with your question.
Greg Lewis : Yes. Thank you and good morning, everybody. Duane, in your prepared comments, you touched a little bit on the California $50,000 incentive program. Just kind of curious if you could talk a little bit more about that in terms of how many potential vehicles that is? How many years that's going to be in place? You kind of -- just trying to get some more color around that? I mean, you mentioned UPS might potentially start off in California. Just kind of, if you could walk us through anything there, I think would be helpful?
Duane Hughes: Yes. That's a great question, Greg, and I appreciate it. I'll start and then if anybody else wants to add more content they can. But in general, think of it this way. Each fleet is able to put in 200 units in California that applies to the $50,000 supplemental voucher program. So when you think about the numbers of not just total vehicles that are on the road in California, but the number of fleets operating vehicles in that marketplace, particularly in the last mile delivery segment, our vehicles do apply for at least in that 1000 cube and 650 cube range. They both apply for the 50 that are applied to the $50,000 voucher. And again, 200 units per fleet in a calendar year.
Greg Lewis : Okay. Okay, great. And then just one other one for me. You mentioned also about LMC, potentially looking to do a listing later this year. Clearly you guys have that 10% stake in the company. Steve, this question is probably more for you. Is there -- and you can be -- that could be a long term investment. But I guess what I'm wondering is just there anything that precludes you, precludes Workhorse from potentially selling that 10% equity stake as LMC becomes a public company in the open market?
Steve Schrader: Greg, thanks. Our 8-K basically show that we have six months after closing and after the six month time periods then we have the ability to sell if we want to.
Greg Lewis : Okay, great. And then just one more for me as it pertains to the U.S. Postal Service contract. Not so much about an update on it. But I mean, clearly, it's a large order collecting right now, the goal for the union facilities to get to 100 units at a certain point in Q4. Just as we think about Workhorse, should USPS -- should Workhorse be lucky enough to win some of that contract if not the thing. How should we thinking about the opportunities for Workhorse to meet that potential order just given the size of it? And, clearly it sounds like Lord's LMC could be an area where those units get delivered. But I'm just curious, I imagine you don't want to put all your eggs in one basket. I'm curious if the management team has done any legwork about potential other facilities where the USPS vehicles should they be one potentially get felt just given that it's unclear to me about -- we know there's a lot of trucks. What the timing of the deliveries are. And just you realize there's a lot of moving parts. Any kind of comments you could give around Workhorse's ability to maybe meet those orders? Because frankly, that's a question that we get from a lot of investors about this potential contract win?
Steve Schrader: Hey, Greg. This is Steve. As you know, we can't say anything about the post office. So let me say it this way. Is that Union City certainly has the ability and the history that can be really any capacity level as it done 60,000 chassis, I think in its history. So it does have that ability to do that. What I will say is that -- what we will look at is the capital, we may have to put in there from a standpoint automate systems and the costs that we would have to do. And we would look at other areas and places that we could do actually sub assembly and subcontracting. And I think you mentioned earlier, at least first is Lordstown. And Lordstown a great example of that where it's a 6 million square foot facility that we would take a portion of that probably, and they could possibly do it at a lower cost than what we could do it for. So that's certainly something we would evaluate. Duane might have more to kind of add here too.
Duane Hughes: Clearly, we have been evaluating that. And that's been part of our long term strategy, at least understanding, if and when it would be capable. But it goes beyond just the plan itself. It's also the technology. So we mentioned our IPLA, Greg. And in that licensing agreement, one of the things we recognize is our ability to, I'll say, share components from different suppliers. As you might recall, the six prototype vehicles that we delivered to the Post Office, all used hub motor technology, and of course, Lordstown Motors Endurance product is coming out with hub motor technology itself. So, not only can we scale our operation more efficiently, perhaps through Lordstown Motors, but we can also scale our supply chain more efficiently by sharing a quantity of parts that are purchased from the same suppliers and beyond. So there's a lot of things that we're looking at as it relates to Lordstown particularly because of 10% ownership in our IPLA, but also because of the proven performance that plant provides, which isagain similar to our Union City plant. We have a lot of experience and a lot of capability there. The question is what becomes the most efficient process and location to ultimately build and deliver any vehicles that we build and deliver going forward. And it's not just related to postal service type things.
Greg Lewis : Perfect. Hey, guys. Thank you very much for the time.
Duane Hughes: Thank you, Greg.
Operator: The next question is from Jeff Osborne of Cowen & Company. Please proceed with your question.
Jeff Osborne: Hey, good morning. couple questions. on my end. I was wondering if you could just touch on the Duke partnership and how that's progressing?
Duane Hughes: Yes. I think -- this is Duane. Jeff, thanks for the question. Good to hear your voice. Let me -- let Steve start with the first answer that.
Steve Schrader: Yes. I think Duke still a strategic partner with us, especially from the infrastructure side. And we're in talks with them quite a bit from a standpoint of going forward. So, we view them as the first choice for supplying infrastructure to our customers. And they certainly view us as the first choice of supplying the trucks for their infrastructure.
Duane Hughes: Yes. I don't think we can do other things that are happening right now, because they're not publicly available. But Duke remains a key strategic partner of ours, above and beyond infrastructure, Steve points out, that's clearly a number one thing, but also, they can operate if you will, within our channel partner world, as both a channel partner and side by side with our channel partner. So, Duke is among the top of our strategic partners.
Jeff Osborne: Great to hear. I just had a couple other modeling questions. Just with all the movement on the converts and the warrants. Can you just update us on what the share count should be in the third quarter? It looks like you had about $74.7 million per the Q and then another $24 million and change that were anti-dilutive from options and warrants. So where should that be given the warrants are fully exercised?
Duane Hughes: Yes. I think the very first page of the 10-K that were released today, I think has 105 million shares outstanding.
Jeff Osborne: And then, how do we think about the OpEx run rate? You mentioned some expenses for gearing up for the C-1000 launch. You then had things sequentially down in SG&A and R&D. Is the run rate that you had around 4 million and 1.5 million for R&D and $4 million [ph] for SG&A, a good baseline for the second half or no?
Duane Hughes: Yes. Jeff, for the second half, I think it's a good run rate to think about $5 million to $6 million for a run rate for non production related items. The extent that we are buying supplies and opponents to get to five a day in the fourth quarter. Obviously, we're going to be paying more for that.
Jeff Osborne: Got it. And then my last was just on the -- in past calls, you've alluded to doing a $40 million credit line. Is that something you're still working on? Or does the 70 million convert take away the need for that? And just wasn't sure what your working capital needs would be, especially as you enter the first half of next year?
Steve Schrader: Yes. I think the $70 million convert plus the exercise of the warrants and options that were out there, put us in a situation where we have $105 million of cash right now. So unless if there is a big order or big contract, possibly the ability to kind of maybe lower cost of capital with things that are existing on our balance sheet, we're pretty well set to the 2022 time periods.
Jeff Osborne: Got it. Thank you. That's all I had.
Operator: The next question comes from Mike Shlisky of Dougherty Colliers Securities. Please proceed with your question.
Mike Shlisky: Good morning and thank you. I want to start out with some questions about the emissions credits that you had mentioned earlier. I'm kind of curious, is there a certain point where those credits have value? Is it when California starts to officially require fleets to have a EVs? Or do you start accruing those credits today? And maybe secondly, as part of that question, is there a point where you think some kind of trading market will develop for those credits?
Duane Hughes: Yes. I think it's really -- number one. Thanks, Mike, for your question. We appreciate you being online. And this is Duane. I would tell you that those credits are available immediately to us when we start delivering vehicles in that marketplace. And then also in other marketplaces as well who create programs. For us it's a matter of creating our own process in order to -- I'll say, use those carbon offset credits. So setting up relationships with other OEMs who could take advantage of using those carbon offsets. So it's on us. It's our responsibility to create our own marketplace with the other OEMs. But they are available immediately to us as we start delivering vehicles to that market. Now with that said, for us it's a function of one and a half credits per vehicle we deliver and one and a half credits I think we referenced this in our talking points is we're somewhere between, I'll call it, right around $300. I think it's $200 per credit each vehicles worth of credit and a half, which would calculate to $300 per vehicle.
Mike Shlisky: Okay. Just follow-up there. There are other, zero emission fuel companies out there that make all kinds of different vehicles. Do you think they'll also get credits? I'm just trying to figure out, can people buy their credits from different sources and be able to mark those up if people really need them or mark them down, if everyone's got there -- got their vehicles on the on the road by those California deadlines?
Duane Hughes: I would say, that there's going to be other EV, OEMs who are able to have carbon offsets. I would tell you this to-date, this is our first time we've had carbon credits available to us. I think it's based on a class vehicle, it's all electric vehicle and so on. But as you get into larger scale vehicles in the past, the larger classes, the heavier class vehicles, I don't believe were available for carbon credits earlier. So I think they're starting to make that available. And I think that's one of the reason why you see our opportunity in the class vehicle we're in to now have available carbon credits.
Mike Shlisky: Okay. That's great color. I also wanted to touch on maybe your exit production to the year and possibly sort of the bottom range for 2021, as far as what you might start the year on production. I know you want to get to 100 vehicles a month for the fourth quarter. So is there any sense as to where you might start the quarter? Where you might end the quarter? Whether that ending exit rate is kind of a good place to start for 2021?
Rob Willison: This is Rob Willison. Really the ramp starts from here and goes up. And what we're really looking at is fourth quarter to do 100 a month. But beginning next year, really taking that up a good bit past that, 150 up to 200 a month as the market allows. As Duane said earlier, there's a number of fleets that are now seeing EVs as obviously green, obviously good for the environment. But the bottom line is, they're less expensive to operate and better for the drivers. So I think some are a little tepid out there to wait to try these out. But we're really seeing quite a huge interest by fleets. And we'll see that production increase the next year.
Steve Schrader: Hey, Mike, this is Steve. I think what I would say too is obviously like Rob said, we're trying to get to 100 a month on the fourth quarter. And you asked a lot about 2021. I think the next goals once we achieve that, and do it on a regular basis, make quality products, but then be 150 a month and 200 a month. We can't give you a guidance on that yet in 2021 as that when we would get there from a standpoint of what month. But that's certainly the next two goals. And I think when we get to the 200 a month, will be gross margin, probably hit our targets. Now getting gross margin positive is always the first step from a standpoint of anybody that's mass producing for the first time and going from in a lot of cases, putting a selling equipment, in our case, is doing R&D. So -- but again, our goal is to eventually get to that 15 to 20 day.
Mike Shlisky: Got it. Great. Thanks for that. And just to confirm all those -- all your previously stated gross margin and EBITDA breakeven targets and comments, those are still valid with the same exhaustion levels going forward?
Steve Schrader: We do believe that when we get to 200 a month, that will be at our production -- our gross margin targets are like 15% to 20%. But I say that in all of us -- sitting here, too, we have to do it first. We have to do 100 a month first, and we have to kind of see where that goes. So you don't get credit until you do it. So.
Mike Shlisky: Got it. Maybe just one last one for me. And you kind of touched on in your previous answer here, but curious as to what's the level of order increase that you're getting? Maybe this quarter -- this past quarter versus the prior quarter. Do you get a sense that there's been any issue due to the COVID-19 with folks unable to get to test drive in? And do you think once they'll have a vaccine or the virus gets a little bit less of an impact on our economy, just see a lot more test drives after that point versus the current time?
Duane Hughes: I think the virus has definitely impacted us from a standpoint of like you said, orders. Because customers want to see him on the road. They want to touch them. They want to feel them. They want to drive them. And I think from that standpoint, it's probably been slow. I think as soon as we start delivering more orders out there, that the orders will come in. We certainly anticipate higher orders this year and by the end of the year. So we have -- we're pretty confident in that, and we'll go forward and see what happens.
Mike Shlisky: Guys, that's great color. I'll pass it along. Thanks so much.
Steve Schrader: Thank you.
Duane Hughes: Thanks, Mike.
Operator: The next question is from Pavel Molchanov of Raymond James. Please proceed with your question.
Pavel Molchanov: Thanks for taking the question. Lots of discussion today about domestic opportunities. But of course, on the other side of the Atlantic, we're seeing the European green deal and the European climate line, if anything, a faster push for electrification? And I'm curious what kind of conversations you may be having with either prospective customers or prospective manufacturing partners within the EU?
Duane Hughes: This is Duane. I'll start with that and then I'll let anybody else jump in. But yes, we get a bit of outreach from -- on the other side of the pond if you will, as well as over here, whether it's in Brazil or all the way into Canada and so on. So part of that is a homologation process that we are prepared to handle and go through. The second part is really the size of the vehicle and the platform. As you know, we're focused on C-1000, which is a 1000 cube size vehicle. And when you think of the traditional parcel delivery guys here and the size of their vehicles, they are a bit larger than what is used over in the European theater. So, we do have our 450 solution and smaller than that. So we are looking at how we determine the appropriate or the right size vehicle, if you will, for that marketplace to be able to open it up to us on a platform level that matters to them. Rob, you want to add to that?
Rob Willison: Yes. So our vehicle can be sold into Canada. It was designed that way. We've announced before, we're seeking refrigerated vehicles, and there's a large U.S. and market in the UK for that, and we've had some preliminary talks in the UK and the Scottish Government as well. So, we want to make sure that we roll out in a systematic way with quality. There's a large demand for this. We're trying to do it judiciously and economically.
Pavel Molchanov: Yes. For sure. You guys also touched on the kind of precautions and social distancing that you have implemented to keep your workforce safe. I'm -- can you just talk about how the kind of physical manufacturing or labor process has changed in the last 199 days, given the new normal that we're all living in?
Rob Willison: Yes. That's a great question. What we've really looked at maintain the social distancing. And a lot of that has come down to some sub assemblies, limiting the number of people that they group together at final assembly. And then all the face masks, the face shields, all the PPE that we do and as much as every manufacturer keep the factory safe.
Steve Schrader: Except on an amount across multiple shifts as well. So we don't have the same number of people working at the same stations and something. And John, you might want to touch on that from a HorseFly perspective?
John Graber: In the aerospace area, we spend a lot of time thinking about of course, how to work apart and our aircraft is designed and our trucks are designed to facilitate one or two people involved in something. So social distancing is no problem. We emphasize PPE to everybody. When you get into the guidance, it's pretty clear and we're very respectful of the notion that we use PPE. We socially distance. We do the hand washing and we separate our people at work. That works really well for us so far.
Rob Willison: And maybe talk just a little bit about in the new truck configuration with the Horsefly to the infrared. Infrared, is it?
Duane Hughes: Or Ultraviolet.
Rob Willison: Yes. So one of the recognitions going forward with last mile delivery, and we do have a preliminary patent on this, but it's using UVC in the cargo area and the drivers area when unoccupied to kill bacteria, cut down some of the dangers of COVID and other contagious diseases.
Pavel Molchanov: Thanks very much.
Operator: The next question is from Chris Souther of B. Riley FBR. Please proceed with your question.
Chris Souther: Hey, guys. Thanks for taking my question. So with the first shipments going to Ryder, I'm just curious between then UPS starting in mix this year. Can you talk about what the expectations are on sort of with the larger customer versus the tail the smaller fleets through the channels like Ryder and eTrucks, what the expectations were going to be going forward?
Duane Hughes: Yes. I think for the most part it will be kind of spreading around to all the customers this year. Part of it's working with them and when they want to receive them and where they want to get them at. For example, if they want them in California, even though we're part of the HVIP list and eligible for the rebates, the state hasn't funded the program yet and probably won't for the fourth quarter. So, again, if you would want trucks in California, you probably have to wait until the fourth quarter, too. So again, I think each of the customers we've already talked about are going to be getting trucks this year. And it's just a matter of working with them as to when they'll get them.
Chris Souther: Understood. So can you talk a bit about like what percent of vehicles you thought were previously going to be going into California. Has the voucher [ph] eligibility change that geographic mix or was that already kind of a big part of it with the expectation that would be potentially there?
Duane Hughes: Yes, this is Duane. I would tell you, right now in our current backlog, we'd be roughly looking at 10% to 15% of the initial deliveries, if you will -- the initial backlog going into California and probably increasing past that pretty quickly. But based on where we currently believe these vehicles will be being placed within our current customer base, roughly 15% would be going to California.
Chris Souther: Understood. That's helpful. Thanks guys.
Duane Hughes: Thank you. Good question.
Operator: At this time, this concludes the company's question and answer session. If your question was not taken, you may contact Workhorse's Investor Relations team at WKHS@gatewayir.com. I'd now like to turn the call back over to Mr. Hughes for closing remarks.
Duane Hughes: Well, thank you for joining us on our call today. We especially want to thank our employees, our partners and clearly our investors for their support. We appreciate you continued interest in Workhorse and we look forward to updating you on our next call. Operator?
Operator: Thank you for joining us today for Workhorse's Group second quarter 2020 earnings call. You may now disconnect.